Operator: Ladies and gentlemen, thank you for standing by and welcome to the Glencore Interim Results 2022 Webcast and Conference Call. [Operator Instructions] I must advise you that this conference is being recorded today, August 4, 2022. I would now like to turn the conference over to Mr. Martin Fewings, Head of Investor Relations. Please go ahead, sir.
Martin Fewings: Good morning. Thank you for joining our half year 2022 results call. I am joined today by our CEO, Gary Nagle and our CFO, Steven Kalmin. I will now hand the call over to Gary.
Gary Nagle: Hi, good morning and those who aren’t in Europe or in South Africa, good afternoon, good evening, wherever it is in the world you are. Thanks for joining us. We will move straight into the presentation and start off with our 2022 half year scorecard. As you will have noted from our release this morning, on the financial side, a record half year result for our group and adjusted EBITDA print of just short of $19 billion. On the industrial side, that’s $15 billion with the largest proportion coming from coal and a record in our marketing business, within an adjusted EBIT of $3.7 billion as we foreshadowed a few weeks ago in our release. On the balance sheet side, net debt down to just $2.3 billion at the end of June, allowing us to return significant amounts of money to our shareholders and we are declaring today a top up shareholder return of $4.5 billion. That’s made up of $3 billion in buybacks and $1.45 billion in cash returns to our shareholders. And that is consistent with our capital returns policy that we have outlined in previous presentations and that you will find at the back of this presentation. That $4.5 billion return to shareholders brings our total 2022 return to shareholders to $8.5 billion, which is an exceptional achievement. On the industrial side, as I mentioned, the real standout this time around has been coal. You will remember a year ago, the first half of last year coal’s earnings were less than $1 billion, but with the energy crisis and the requirements of the world need for stable baseload energy. Coal prices have surged. We have also obviously taken over the remaining share of Cerrejón in the early part of January this year, and that’s helped underpin this big increase in adjusted EBITDA for our industrial business. Obviously, on the negative side, we do see some headwinds on the inflationary side as all our peers do and as the market does, and we continue our processes and programs to try to contain those costs, but certainly, there are some headwinds on the inflationary side in our mining and processing business. EBITDA margins have remained very healthy, with metals EBITDA margins remaining consistent year-on-year. And our coal margins, obviously, with the higher coal prices have been exceptionally strong. On the Marketing side, a record for performance for the first half. And in fact, as we’ve mentioned earlier, this is a – we’ve exceeded our full 12-month guided range of $2.2 billion to $3.2 billion EBIT with a $3.7 billion achievement in the first 6 months of this year. And really, it’s underpinned by exceptionally strong energy trading performance across the board, which has contributed this strong performance. Moving over to our ESG scorecard, on the environmental side, we are taking significant steps in progressing our decarbonization pathway. Just some examples. We have locked in a number of renewable purchase power agreements, 2 significant ones, one for Antapaccay and a second one at our Kazakhstan operations, which will greatly reduce our Scope 2 emissions in our business. We have also entered into a multiyear supply collaboration with General Motors for cobalt, assisting them in their transition to growing in electric vehicle fleet business. And as we also announced earlier in the half, we have partnered with Li-Cycle, which is a recycling company promoting the circularity in battery raw material supply chains and that we believe is a large step in our continued growth in our recycling business. On the social side, we are very upset to report that we’ve had 2 fatalities year-to-date. These fatalities we believe are preventable, and it is our job and our responsibility to eliminate all fatalities in our business, and we continue to work every day and ensures our number one priority within this business to eliminate all harm, not just fatalities, but all harm in this business and it’s work that will continue nonstop. On the governance side, earlier this year, we announced the fact that we have resolved our investigations by the Department of Justice, the UK SFO and the Brazilian authorities. That was announced in April this year. And if you look at that in the context of who we are as a company, our strength is not just because of our results. The foundation of our lasting success has been the culture and our people in the way we operate as a company. It’s important to understand from our perspective as a Board and as a management team that this kind of conduct has no place in Glencore today. We will learn from this conduct and we will improve this business going forward. FX, compliance and sustainability must be the forefront of every decision we make in this company, and they will be. And I’ve been clear with the management and with all our employees around the world that we make that a cornerstone of our business. We have a world-class ethics and compliance program, and I truly believe it’s world class. And this is something that promotes good business, but stops debtness tracks any idea of something that is unacceptable in our business. We have put this behind us. We move forward as a transparent and responsible and ethical operator, and we hope to be able to provide continued great returns to our shareholders and all our stakeholders on the basis – on the basis of being this responsible and ethical operator. With that, I will turn it over to Steve to talk through the financial performance for the first half.
Steven Kalmin: Thank you, Gary and good morning and evening. Good afternoon to all those on the call that are joining us this morning as well. Gary covered some of the highlights if we look at Page 7 and the financial metrics are all comprehensively dealt with in subsequent slides. But as Gary noted, very strong headline EBITDA number at 18.9 billion, clearly a half year record and not too far off full year record, which we delivered last year at $21.3 billion for full year 2021. We will cover industrial and marketing specifically in some other slides later on as well. Net income, underlying operations at $10.8 million with a more than tripling of that figure from $3.2 billion in first 2021, it’s obviously a greater percentage given fixed depreciation amounts largely at the base of a smaller number in 2021, so the percentage, obviously larger. The reported statutory net income for the business $12.1 billion reflects that there were some a handful of significant reported gains and disposal of assets or acquisitions of assets during that period and we have had some positive P&L developments, if you like, below the line. The equity free cash flow pre-working capital and other allocations to stakeholders $13.2 billion for the period, that was in line with full year 2021, which was $13 billion. And we’ll run through the bridge on net debt evolution in subsequent slides as well, with net debt finishing the period of $2.3 billion and allowing for the $4.5 billion of top up distributions, which Gary discussed. On Slide 8, you can see the industrial increased 127% up to $15 billion. We’ll see a waterfall bridge on the next slide as well. The large primary factor comprising the increase was a lift in coal industrial earnings by $8 billion from $0.9 billion for first half 2021 to $8.9 billion for the particular period. Pricing was a large contributor, but also the acquisition of Cerrejón on a like-for-like basis, added significant returns for the business relative to the prior period. Cerrejón itself, if you look through the is it contributed a little over $2 billion of EBITDA for the first half ‘22 to being just $86 million for 2021 when we add one-third of that particular asset coal prices were significantly lower through 2020 and even into first half 2021. The uplift from now owning 100% of Cerrejón compared to having owned one-third for this particular period half was $1.4 billion. That contributed to the overall business and the Energy Industrial business as well. Bottom right, you can see the contribution from our two large components in both Energy and Metals. Metals largely flat during the period. We did see some higher average period-on-period prices, but we have seen the impact of both higher prices or higher costs as well as reduction, particularly Katanga, which was noted in the production report last week, and Gary will refer to it a little bit later on in the slides. That’s going through a reduced production profile as we manage both geotechnical safety and other parameters and restore that business up to its potential over time as well. It was 36,000 tons lower on copper production period-on-period. We have also had various portfolio disposals over the year, some of which impacted the period on period, particularly Ernest Henry and similar zinc assets in South America, notably, Bolivia. The overall EBITDA margins in Metals at 43% stable with Coal 66%, contributing to the 54% overall industrial portfolio. If we look at that bridge on Page 9 between $6.6 billion and $15.5 billion, the largest bar, of course, is the pricing at $8.3 billion period-on-period, of that $8.3 billion, Energy, $7.2 billion and Metals $1.1 million. Within Energy $6.8 billion was coal, $0.4 billion is in our oil and gas Upstream business, although a relatively small business within Glencore, not necessarily growing business, we manage well around some West Africa non-operated properties that we have at the moment, more exposed currently to gas than oil. We had a pickup of $0.4 billion and I think that would have been a bright spot also across some of the Industrial contributions as that business delivered $0.6 billion of EBITDA for the 6 months in Upstream E&P. On the Metals within the 1.1 price variance nickel was the largest contributor at 0.5 ferroalloys in South Africa 0.2. Only a small bump in zinc at 0.2, notwithstanding high zinc price, the by products actually provided tailwinds for that headwinds for that business silver price, which is a large, we’re a very large producer, by-products, price period-on-period was actually down 15% in silver. Lead and gold was relatively flattish, which are also important by-product contributors to that business as well. On the volume side, net-net, we are at plus 3, plus 0.3 period-on-period, which is metals down around $1 billion and energy, up $1.3 billion, all on account of Cerrejón, which I mentioned in the previous slide, the Metals contraction in volume, Katanga was the largest period-on-period contributor Ernest Henry and some of the zinc assets in South America with those disposals is also mechanically led to some gold variances across that variance. Costs at $0.6 billion which we will look at some of the cost variances later on, we are expecting that to expand as a negative cost variances before ultimately stabilizing. And seeing where we are in terms of cost inflation, predominantly energy linked, largely uncontrollable. We are a beneficiary clearly through the price impact of energy and commodities generally, so somewhat naturally hedged. But within the $0.6 billion we were negative $0.3 billion in coal and $0.3 billion in metals during this particular period. But some of that inflation is intensifying more in the business and you will see our mark-to-market of all oil energy and by-product pricing as we work through Kazzinc of the Metals was almost half of that $0.3 billion of all our assets. It’s an outsized cautious early on, particularly in later, there was, you would recall some protest earlier on in Kazakhstan around inflation, around energy prices. Part of the resolution there was all hands on deck government, industry and the likes, significantly increasing wages in country, potentially on expectation also of declining purchasing power through currency that ultimately hasn’t presented itself the Kazakh Katanga has actually held up relatively strong given energy markets within Kazakhstan as well. So that has had an outsized impact over our Kazzinc business, and you’ll see that within the zinc results as well. We have had a little bit of cost relief overall through a stronger U.S. dollar, a weaker Australian dollar and South African rand with Australian dollar contributing about half that number. We should get a little bit more relief on that through the second half of the year. If we look at page – the next few slides, we’ve got some individual pages on our large businesses. If we look at copper to begin with, production down 15% period-on-period. I think that’s been well chronicled around Ernest Henry disposal. Katanga, Collahuasi itself through sequencing had some low production period-on-period as it does happens from time to time through its overall business. It’s a large business in the particular pit areas. So that was slightly down also on period-on-period, which is a negative contributor for this particular period. Provisional pricing within copper, it’s the most exposed to provisional pricing. You’d see it in your broader coverage universe, particularly through Q2, where we had a sharp and quite quick contraction in prices. You do give away quite a bit in provisional pricing as those sales adjust through the QP periods as well. Overall realized price was down 8% period-on-period. You can see it on the top graph 393 against 425, notwithstanding that average LME headline was up 7%. The base period was a beneficiary of provisional pricing. It can go either way. We saw increases starting in early in Q2, increasing through H2 2021. That was a period-on-period quite a material impact on the copper operating performance and EBITDA contribution. The half year was $3.3 billion, 14% down in EBITDA from the prior period. Just drilling on costs a bit and I will make reference to – these are backward-looking historical costs at the bottom. You can see 2019-2021 in first half 2022. Later on in the presentation, we provide our customary illustrative mark-to-market of costs and spot illustrative free cash flows at current macros. The cost in copper, as you can see up to the right, we’ve adjusted that up to $0.93 a pound. And we’re hopeful that, that’s a high watermark. We’ve certainly picked a tough period from which to mark-to-market costs. We’ve looked at and also against when we updated results back in February 2022, we were guiding full year around $0.41 a pound what’s happened between February and August, oil price assumptions. It’s a big user of diesel across the business and all the indirect linked energy prices. We were using $109 a barrel in these assumptions compared to $85 back in February on Page 31 you can see our various assumptions well. And for our copper business, cobalt has had a huge impact actually in a mark-to-market sense, it’s been the strong commodity early in the year. And it’s been the weakest commodity of late through the last 2 or 3 months. Back in February, spot pricing for metal was at $0.344 a pound at a 90% payability for hydroxide out of the DRC. For purpose of current cost calculations, where by products of cobalt feeds into our cost calculations metals reduced to $0.253 per pound and using a 65% payability. Net-net, that’s a realization of 16.44 today against 30.96, so nearly a 50% reduction cobalt realizations that manifests through that $0.93. Again, hopefully, these are levels in both cobalt pricing, energy price assumptions, and even Katanga production has been rerouted the 93 down to the 220 annualized at Katanga as well where we took the production down, 50,000 tons a year. So, hopefully, conservative now in the copper business and set for a recalibration going forward and the business. And of course, spot pricing as we cut it in the last few days, it will also reflects the macros and current positioning with respect to China and recessionary fees and the like as well, on an annualized basis, $5.1 billion for copper as we stand at the moment for current costs and current use production. In the zinc business on Page 11, you can see production down 17% as well, reflecting disposals of our Bolivian business down in South America during the period. And particularly in Australia, we’ve seen impacts around COVID-19 impacts, absenteeism, particularly in Mount Isa and generally within Australia with that operation. Operationally is – and productivity is not keeping up with where we would hope and expect. The Zinc business more than any other business for us is most impacted by percentage increases in Energy & Power, in particular, we have our smelting operations throughout Europe, power prices as we – as everyone is aware, in Europe, generally, gas-linked electricity-linked is making it very challenging in those operations. We do report specifically the EBITDAs out of our European smelting operations. It was business as previously in sort of $300 million would have been a comfortable contribution for that business. It’s barely covering itself at the moment and was a key contributor to suspending one of the lines in Italy that we did towards the end of last year in Portovesme’s zinc line. We have also had higher diesel costs clearly across the portfolio in our zinc business, and Kazakhstan itself was earlier to the inflationary impacts than many of our other businesses, particularly in labor, which I mentioned earlier on. We’ve also had some by-product impacts in our zinc business as well through a phase of lower gold production coming out of Kazakhstan and lower copper as well out of the declining Melevsky underground operation in Kazakhstan, the Zhairem business when we hope to have that up and running and ramped through the course of 2023, is the key catalyzer to both reducing unit cost, improving performance and contribution from the zinc business, which Gary will talk a little bit about that later as well. So the zinc business, again, relative – in terms of cost, we are now up to $0.29 on a mark-to-market basis, generating $2 billion on a spot basis for our zinc business as well, again, this hopefully high watermark around running very high energy prices. No by-product prices across silver, gold, lead and the like as well, which all materially down against our February 2022 guidance. And also back in February ‘22, we were assuming that Zhairem was going to perform better in 2022. That’s now looking more like a 2023 story. Nickel business on Page 20 – on Page 12, has performed pretty well this year, production up 21%. Koniambo has now been operating on 2 lines through the course first half. It generated around 13,000 tons of nickel against 6.6% in the prior period. And Murrin itself has increased 4,000 tons period-on-period. You recall there was a large – it’s large maintenance shut that it does every sort of 3 to 4 years or so, down for 5, 6 weeks. That was in the first half 2021. The business itself in terms of cost, it’s not immune as well, high energy and consumable costs, particularly in Australia, where Amarin itself, for example, is a big sulfur buyer through its asset consumption, prices very high have come off recently. So maybe we are seeing some of those prices getting – having peaked and starting to liberate some costs going forward as individual markets. It’s a market-by-market story are resolving supply and demand dynamics. There are nickel-linked bonus payments and the likes, particularly in IO. We had higher prices on nickel period-on-period, up 56%. As you can see on the top right, that did also possibly flow through to higher nickel cost during the particular period. Just to call out, and it’s in the report as well, we’ve had an industrial action at Raglan since the end of May. That is still not resolved. We’re waiting to see the ultimate effect of that and clearly, some downside risk across our full year estimated nickel production, which we will update in the next production report. On a spot basis, fully illustrative this business is around 1.4 billion basis current macros. Page 13, we have coal, clearly, the star of the show for this period. It’s been lower down on the podium, has changed a lot in the last particular period, but nice to – this business performing well during this period and having it stay in the sun. Production headline was actually up 14% purely on account of the Cerrejón acquisition going 33% to 100% effective January 2022. Like-for-like basis, if we had owned 100% the previous year, overall production volumes were, in fact, down coal, and that’s obviously the start of a long journey to decline that business ultimately to net zero as we’ve said, 50% by ‘35 and 15% by 2026. It’s the most exposed business to revenue-linked revenue coal-linked revenue royalties in our various jurisdictions, so $75 cost outcome or outturn as we had in first half 2022 is pleasing, frankly, because it reflects the very high prices, and the royalty is ultimately going to various local and federal governments that we deal with around our three operating jurisdictions as well. This was a business that we updated costs and portfolio adjustments just before the period end and we have come in well as range as well. We have flagged as well the recent flooding events in New South Wales. They were very extensive. The rail corridor is down close to 2 weeks. We are assessing the potential impacts or likely impacts on exports on mining on the performance of the full coal supply chain and would look to update as soon as we can no later than the Q3 production report around where we expect to land for a full year on coal. In terms of the overall business, as Gary mentioned earlier on, $8.9 billion EBITDA for the year on a spot illustrative using a Newcastle forward average 12-month $352. We are a little over $20 billion of EBITDA on that business. Obviously, the higher you push, the higher Newcastle goes up portfolio mix adjustments will go up accordingly, be nice if all of our tons were delivering into that market. That’s not the reality. We have a good market share in that market, but there is all the different qualities, lower CVs, different markets, different jurisdictions that we operate. There is coking coal also feeding in there, which is under a bit of pressure and various domestic tonnages, both in Australia as well as South Africa. So that’s a $20 billion, which does support a second half performance in coal. That should be at least broadly consistent with where we are for the first year at sort of $9 billion, which all accounts is a very strong performance as well. If you look at marketing on Page 14, not much to speak about this other than the fact it was an excellent period just for half $3.7 billion. We flagged this just before the period. that we expect it to be above $3.2 billion top end of our normal annualized range. Energy was the main contributor, the only contributor, frankly, of getting us over that benchmark as opposed to being in our normal ranges, if you like, for all the obvious reasons around tight markets, dislocation, extreme volatility. Across all, it was a obviously, a period within which to perform well, but pleased the team managed through what was still a very risky period, a challenging period, one that there were obstacles to have avoided. It wasn’t without us challenging that results clearly in this business being able to perform as it is and well done to the team, obviously, in that regard. In the Metals and Minerals at $1 billion slightly weaker than 2021, which itself was a relatively good period at $1 billion. If you look at the graph $1 billion for a half year, historically would have been a good result. It is a good result. Somewhat weaker towards the end of the period, particularly China is – our Metals business more exposed to China than the Energy business, the in and out of lockdowns, weaker industrial activity clearly would have an impact on that business, also premiums in some markets towards the end of the period. Cobalt, as I mentioned earlier on, heavily exposed to China generally as well. If we look at Page 15, getting into the balance sheet part of the business, very strong liquidity position even after our investments in working capital of $12.5 billion, that’s very close to managed and monitored within the business around lines and liquidity and maturity profiles. We’ve seen net debt and net funding decline respectively, by $3.7 billion, $2.9 billion to their various levels. I’m sure you are all waiting for the working capital slide. We have seen a $0.9 billion in RMI. That should be a large surprise given prices. That does reflect energy higher metals being lower, but overall relatively contained. At 0.9, I think there would be expectations that would have come in potentially a bit higher. The $7.8 billion in non-RMI, not all of that is classic working capital. Some of it depending is more even OpEx in nature. It depends how it gets accounted for and reported on our balance sheet and I will look at that page later on. Mechanically, we just reinforce the shareholder return framework that we will, at times during the year, first half, second half look to analyze where we are in net debt and return the balance sheet back to its pro forma $10 billion net debt after adjustments for debt like, of course, we have to account for the, you will see later on for the legal expenses or legal settlement, not yet paid in the first half as well as the second half distribution, which is coming through. So if we jump to Page 16, that’s obviously a key slide. And we have got the wagon wheel. And – but just following net debt from $6 billion to $2.3 billion, funds from operation, very strong headline, good EBITDA good containment across the other cash components in interest and tax. The net CapEx, although obviously much higher tax payments with these higher prices. Governments are the biggest shareholder in our business. At the end of the day, higher prices, they are all getting well compensated within all of our jurisdictions that we operate. Net CapEx at $2 billion. Somewhat lagging still where our full year expectations are I’ll get to that later on. Investments generated a bit of cash run, most notably Ernest Henry. The working capital $7.8 billion will get to non-RMI and distributions and buybacks was $2.2 billion completed during the first half. So, let’s follow through the – and our commentaries as I go through on what I would expect to release in working capital, both in the short term in the medium term. What is what’s clearly relevant over there? The $0 billion, if we just talk at government investigations, this is really geography as to where it appears in our financial statements that we raised the provision as of December 31. And now as we settle those payments, it comes as a reduction in working capital as opposed to if we were settling without and raise that tenant would just come through as an operating expense or just a P&L item. So it’s really just a function of the fact that we created a provisional liability that mechanically any payments thereof, is seen as a reduction in working capital. So that is not any payments thereof, is seen as a reduction in working capital. So that is not an investment. It’s really more in OpEx in nature. If you look at the deferred income, those close followers of our balance sheet would know that we do have balances, particularly. There is a big physical buyer universe for our non-core by-products, effectively gold and silver. These are precious metals that we produce in Kazakhstan. And in Canada, in particular, we have large processing facilities and the like. There is markets out there over a shorter one, two, three periods, where we have some incoming interest in doing customer prepays. So these are prepays. They tend to happen in H2 of each year. We look at the amount that’s appropriate, whether the terms make sense for the business. They then amortize over the following 1 year or 2, and then we look each year as to whether we want to take on some more prepays in that particular business. A lot of this tends to roll. So we’ve seen a reduction of $0.7 billion here. It’s within our purview clearly to see what we want to do in H2 and how much we want to neutralize and reverse in terms of that movement. I am assuming, and you can keep tally of the various numbers, but I’m assuming at least 50% of that would reverse and come back in the second half of the year. So if you’re keeping tally that sort of $0.4 billion. The $1.8 billion in other, it’s just what did it neatly fit in any of the other particular buckets. The largest component of that is where the opposite of what I just mentioned. We actually prepay ourselves for future product, which settles against us. So we get physical delivery of that future product, which clears out that potential, that particular prepayment. That increased by around $600 million, $700 million during the period. This is all short term. And that’s across – we have iron ore in that we have aluminum, we have some other commodities that occurs. These are attractive commercial business for Glencore that we have as well. All of that $0.6 billion is this is the short-term prepayment. It’s a linear amortization. So that $0.6 billion will all come back by June 2023. So, at least 50% of that, so put another $0.3 billion would reverse back and amortize back in the second half of the year. We have also had some buildup in some VAT in different particularly industrial assets. This tends to be slower often in terms of recovery. I’m not going to promise any return back in VAT, but that’s on the balance sheet, and we keep working on those. The other amount that again is more OpEx in nature, but it does come through as a working capital settlement of various prior period bonus pool accruals and the likes. We have our Marketing businesses performed well in 2021. That creates a certain bonus pool that we have – that’s linked to those earnings, and it does get settled through the next 6 months of the year. That’s also within this particular geography and category. It’s not a typical working capital amount, but it does mechanically work through this amount. If we look at then the next three interesting categories are very marketing-related and all effectively related to energy marketing. Increase keep going anticlockwise, we’ve got increase in initial margining requirements. This is us posting cash just to be in the commodities game and space. You need to manage risk. You need to manage – we need to let effective hedging derivatives, futures, swaps and strategies around our physical Marketing business. This is how we can obviously produce good risk-adjusted returns and ensure that this is a business that derives its earnings from the physical attributes and is – can be reduced to a non-speculative business. We need to be in these markets. We operate at multiple exchanges. We operate through brokers. And margin calls, initial margin calls was a factor always. We were at $1.9 billion. It’s become a massive factor, and it’s been well publicized through media, canvassing from companies to, if you like, support the overall creditworthiness, the counterpart performance, the exposure, the overall functioning of the system. In terms of derivatives, we’ve seen nickel markets, we’ve seen gas markets. We have seen everything very heavily in the media in the last 6 months. The response from regulators exchanges themselves just to secure the overall system, which makes Creek increases barriers to entry, reduces liquidity. It becomes a space really for only big financially well-resourced players to be able to function at the level that they would like is that they materially increased the initial margins which all players have to put down up-front irrespective of whether you have any mark-to-market on – even before you put a trade on, you need to put down these initial margins. They have their own formula. They need their 99% confidence that in extreme stress scenarios that they run that if you have any counterparty defaults through their broker clients that the system can settle all of its trade and that it continues to function as well. So those increased tremendously during the period, and we increased $2 billion in [indiscernible]. An example, which I think is quite good just to give on this call. Just in the last week in June, we were issued at 9 a.m. or 8 a.m. one morning in a particular contract on the ice into Continental Exchange with a particular broker around new rules and new scenarios that they reassess from time to time. They said, Glencore, you need to put up an extra $400 million in 1 day with one batch of trades with one broker in one particular market. That’s the extent of what we’ve seen in this particular environment. Now of the $2 billion increase, around $1 billion was LNG, $0.5 billion coal $0.5 billion in metals. We’re looking at many ways now to optimize and see how we can do netting look at different structures that can materially decrease our initial margining that cash is in the business. It’s parked with these brokers. It hasn’t gone away. It’s temporary come back in some way, shape or form. We have a target to bring back – and we’re working on and have some line of sight around being able to mitigate at least around 40% of that number. It’s a target that we would see at the end of the year, which would bring back $0.8 billion of that $2 billion increase. That would still leave us with heavy investment, if you like, initial margin and does highlight the barriers to entry. And everything we are looking here in working capital, primarily energy-related should be seen in the context of our performance during this period. So this has certainly had a very strong commensurate return, and shareholders have been rewarded for having had to fund and invest in some of this working capital. We now need to see how it’s going to wind back and what’s a bit more sticky than others. If we look at the change in our net trade receivables and payables, that’s a function – that’s classic receivables. We sell a cargo, discharge and customer has 10 days, 20 days, 30 days, whatever terms are offered within that particular contract. We’ll also have our suppliers, and we’ll get our normal payment terms and how that gets settled within the normal – within a working capital cycle. We have seen an almost full reduction in contraction in Russian suppliers, we’ve seized obviously, any new business in accordance with our various announcements that we made over the period. We previously did obtain higher than average payment terms from our Russian suppliers. So if you think ones that would be familiar, Rusal, Rosneft, these we counterparts in aluminum and oil. We would have dealt with historically, they would have fed through and contributed a higher average payables settlement date compared to the average, that business has fallen away. It’s either been replaced with other business or if it hasn’t been replaced, we’ve lost some of that working capital float. That number is $1.5 billion. Around the edges, we are looking at how we can potentially optimize our overall cycle, the receivables and payables. That’s something that I would park as being for now is more in the structural camp around where our mix of business is today, and that’s not coming back anytime soon. The other one that will come back 100% and it’s purely a timing issue of $1.5 billion, this is an increase in our net physical forward commodity contracts. So if we take on – this is primarily – it’s longer-term contracts. Most of our business is short-term and the physical forward contracts wouldn’t be particularly large. We do have some in the energy space, particularly LNG growing in that evolving into that business. It is more highlighted with some longer-term supply and sales agreements. We announced a few – a year or 2 ago that we’ve taken on a large long-term supply from Cheniere. We’ve got a handful of other long-term supply agreements. We’ve got a customer base. There is no pricing that’s been fixed, but there is various elements of that, of these contracts that does get worked up upfront. It needs to be risk management over time. It might be geographic sourcing where you’re buying at it might be liquefaction. In coal, there is some elements of fixed pricing that you’ll have for short periods of time. We will then go into the derivative markets and manage that risk to an acceptable level within our VAR and optimize around that. We’re then paying margining on the derivatives. But on our physical board, if they go in the money as this had, this is just increase that is all unmargined and sitting on our balance sheet. The amortization on that $1.5 billion is broadly third for the rest of 2022. It’s about third in ‘23 and about third in ‘24. So we can comfortably put down $0.5 billion of that, all things being equal, this is a markets are changing. But in terms of the runoff and the performance of this business, we’d be looking at least sort of $0.5 billion to come back in the second half of 2022 and then another $0.5 billion in ‘23 and ‘24. Adding all those elements that I said you will get to around $2 billion. That’s the amount that we’d have higher degrees of confidence around coming back in H2 2022. And we then mechanically go back into our distribution in February 2023 when we report back on where our net debt is and the recalibration of buybacks and base distributions that we will look to deploy back in February 2002. So that’s a sense of where the buckets are. That’s where sort of marker out there as to where base all things being equal based on where we stand at the moment. I’d expect to obviously come back. Had those factors already been with us 3 months ago, and we could have actioned them through to 30 June, we would have been able to declare a $6.5 billion distribution today. We’re at $4.5 billion obviously because where working capital is and put in a quick release, at least in that component, thereof, and we move forward in the working capital. In terms of Page 17 then, that’s just the mechanic buildup to our $4.5 billion top-up that we announced today from $2.3 billion net debt as the second tranche to be paid September next year. That will be now topped up with the extra $11 a share. So instead of $1.7 billion, we will be making a $3.2 billion cash payment now in September. The settlements, which there is a range of court dates through to the end of the year to resolve and finalize the payments. We’ve still got $1.2 billion left as our provision. We think the provision remains sound. We paid $300 million that’s still to go that needs to be accounted for within this waterfall, some small minority provisions of distributions out of assets where we don’t have 100%. We’ve collected the cash. But in assets like Katanga, like Kazzinc, for example, we have a minority interest in those businesses and they are received dividends out the side door, if you like, on the front door that needs to be paid because we don’t own 100% of those assets. And then all of which leads to a $4.5 billion top-up. The $3 billion buyback equates to $0.23 a share. In aggregate, buybacks, free cash for the year is around 43% buyback, cash 57, represents around 4.2%, 4.3% of the outstanding shares at the moment. So that will have quite a significant contraction in share count over the next 6 months as we deploy that buyback. Page 18 is as we were on the CapEx, nothing really to report here. No change to guidance expectations for the year, still at $5.4 billion full year. We’re tracking significantly below that at the half year. That is often the case that tends to be weighted more H2 through H1 somehow, that’s a statistical outcome. And with that for the year, we will obviously update full year guidance for the outer years when we come and have our investor update in December as well, but we’re just restating where we’re at. And for now, we able with those CapEx, nothing, there is no further information that would make a straight from those particular assumptions. There is a few slides just on the guidance and spot illustrative. I think I’ve covered it all in previous slides. We will just run straight to ‘22 which shows that spot illustrative $32.3 billion of EBITDA, contributing down to an $18 billion of free cash flow. Still incredibly strong. Coal maintaining at the $20 billion, that’s with Newcastle $350 average forward and the portfolio adjustments, cost higher because of inflation as well as royalties, and it’s a mark-to-market of all of our other businesses, copper, zinc, nickel and the likes, marketing back to middle of the range. At reduced tonnages in copper and zinc, we will obviously look in end of the year to roll these forward into ‘23 once we’ve been through our longer-term planning and budget cycles, which will be more fresh and telling us the time in a go-forward basis, we will be able to show what, particularly in the volume sense how we can look to recover some in copper and zinc. Obviously, in particular, and also hopefully, by then, some of the very heavy inflationary pressures would have abated somewhat since then, and we can get back to lower cost than what we have at the moment. So anyway, that’s sort of where it’s at. Still very strong, August well for continued strong cash generation during the business, continued deleveraging through H2 and continued delivery of strong shareholder returns in H2 basis, full year 2022 results and the top-ups that we’d look to deploy at that point. So with that, I will close it out. Quite a bit of numbers, quite a bit of information. So you take it all in hand back to Gary for the close it out.
Gary Nagle: Thanks, Steve. So as Steve says, a lot of numbers. All of them all very positive, great returns to shareholders and consistent with our capital returns policy, terrific results in our Industrial business, terrific results in our Marketing business. Turning on to Slide 24. You’ll have seen the slide before, a real snapshot of our business model and where we are. A big industrial business, world-class assets providing the commodities needed for today and for the future. We have a coal business, which provides the transition fuel as we decarbonized world to allow countries and the world to decarbonize and still maintain reliable baseload energy, we also have a terrific set of future-facing metals operations around the world. Very large copper, very large cobalt, very large zinc, very large nickel producer around global business around the world, providing the solutions that the world needs. Associated with that, a world class marketing business with a record result for the first half of the year and again, this providing not only taking opportunities and arbitrage opportunities from the dislocations in the market but providing a service to the world and to customers require certainty of supply of whatever commodities they require as the world moves forward. And a result of that, a business that levers largely off our industrial business, but also as a stand-alone provides significant value to our shareholders. And associated with those businesses and totally interlinked to them is our Carbon Solutions business which is a real service provider to many customers who require the commodities that we supply through our markets and industrial business, but with a carbon solution, and we’re able to provide that full solution to our customers as we go. And a newer part of our business being our recycling business. As we go forward in the circular economy and the importance of it and the need to ensure that we recycle and provide the commodities needed today and into the future, those don’t only come from primary sources and that we do contribute towards a circular economy, and we do give back using the commodities that have already been mined historically. So that provides our business in a snapshot. Going forward, looking at our priorities for 2022. First and foremost, as I mentioned earlier in the presentation, is safety. I did mention earlier, we’ve had two fatalities year-to-date, and it’s something that is very difficult to accept as a management team. It’s very difficult to accept by our operational management. I know everybody in this company is personally affected when we have an incident like this, and it’s something that we will continue to work on as we believe wholeheartedly that this business can be a fatality-free business and will be a fatality-free business. On the climate side, we’re progressing very well along our pathway that we’ve illustrated in previous presentations. Our operational footprint, we spend a lot of time decarbonizing our Scope 1 and 2 emissions. We spoke earlier in the presentation about some of the renewable PPAs that we entered into, and there is a number of initiatives along the mutual abatement cost curve that our operational team are working on and implementing as we speak, which are not only carbon reduction projects, but they are also optimization projects for our business. Our Scope 3 emissions, we’re managing that largely through the rundown, responsible rundown of our coal business that is consistent with the Paris aligned 1.5-degree scenario, and we are committed to that responsible rundown, and we won’t deviate off that path. We prioritize our CapEx towards our future-facing metals and not towards our fossil fuels business. At the same time, we don’t only look at the fence, but we look outside of the fence, and our supply chains are critical ensuring that our suppliers and the commodities and inputs that we buy into our business likewise have their carbon footprints not only monitored but reduced as we go forward to ensure that our footprint within the world is reduced going forward. We support all sorts of technologies within the decarbonization drive. We are putting our own money towards carbon abatement through the CTSCo project in Australia, which is progressing along, and we hope to have that part of plant up and running in the next few years. And with all of that, we follow a very transparent approach. We ensure that details are provided to our stakeholders to ensure they understand that this journey towards decarbonization is absolutely clear and transparent for our shareholders to understand that we are committed to it, and we will achieve our targets and goals. On the operational side, we have a number of efficiency and discipline projects underway, and we are committed to operational excellence and good cost and project governance and management. A number of challenges, of course, as any mining company does have a number of challenges. We’ve mentioned earlier some of them, Steve mentioned a number of them earlier. Koniambo, our New Caledonia nickel operations, which is trying to show some green shoots, not doing too badly. In fact, the last 6 months have been the best 6 months probably over the last 2 or 3 years. And we are seeing significant improvements in the operational efficiency of that business. And with continued hard work from our nickel team, we expect to see continued improvements and a continued contribution towards the bottom line within this business. The [indiscernible] ramp up that, again, has been a challenge for us. We’ve had a number of issues around [indiscernible], whether it be COVID or fire-related issues or equipment reliability issues, all of those are at hand. All of those have plans in place to mitigate the issues that we have. And within 9 to 12 months, we feel we can have that plant up and running at nameplate capacity. We are kind of the restart of the Mutanda copper-cobalt project. That ramp-up is underway, and we would expect going forward to see, good results coming out of that project. And obviously, the financial results of that being reflected in future earnings. And lastly, Katanga, Steve, but mentioned that, some of the geotechnical issues that we’ve had at Katanga and associated geology issues and bits and pieces here and there. But again, a project in hand, where the operational team are hard at work and have a full understanding of what the issues are, have plans in place to mitigate and to fix and to change certain processes, and we look forward to that business coming back strong in the coming period and providing the kind of returns that we’d expect from that business. On the financial side, Steve has gone through really the financial numbers. So really where we are on the balance sheet side, we committed to a very strong BBB or BAA credit rating through the cycle, and we believe with our net debt targets and our capital returns policy and the earnings potential of this business that, that is something that certainly is a given. Shareholders returns. We will follow our shareholder activity as we have in this half. We will continue to be consistent and abide by that, and we look forward to providing additional returns back to shareholders. So with that, we will end the presentation. It has been a little bit longer than normal, but given some of the numbers and some of the results, we thought it would be better to take you through some more of the detail. And now we will turn it back to the operator for Q&A.
Operator: [Operator Instructions] The first question from Alain Gabriel from Morgan Stanley. Please go ahead.
Alain Gabriel: Yes. Good morning. I have two questions from my side. The first one is the business has been exceptionally cash-generative, and market price of mining assets have pulled back quite a bit. Are you seeing any tempting opportunities emerge that could potentially lure you back into M&A continue to expand your footprint in some commodity, the market sees as future facing? That’s my first question.
Gary Nagle: Yes. On the M&A side, there aren’t many opportunities. Of course, given our operational footprint and our marketing footprint, we are in tune with many of the operations around the world. And where opportunities do come up, we often first to see those, whether it be because of where we operate or because of the relationships and joint ventures and partnerships that we have with many producers around the world. So the short answer is there are limited opportunities, that window is never closed.
Alain Gabriel: Thank you. And my second question is on your asset sales program, which has continued to progress throughout the first half, but the slide in your presentation is no longer there. Does this signal that the pace of asset sales would slow from here? And how confident are you in closing the sale of Cobalt in the second half? And then are we any closer to a decision on the future of Viterra in the Glencore portfolio? Thank you.
Gary Nagle: I think I flagged it in the previous presentation that we’d stop reporting on it. We’ve made significant progress through the first, or through the last 6 months of last year and the first few months of this year, significant progress in terms of slimming down the portfolio. It doesn’t mean the work has stopped, and there is still a bit of work to be done. But we’ve got through the ramp of it and most of it is done. And there is a bit more to do and we said we have a running commentary. So a little bit more to go, but everything needs to be looked at on its own light in terms of whether it makes sense within our portfolio, whether it’s core or not, whether it’s subscale or not. But for intents and purposes, most of it is done. There is bits and pieces still to be done, and we will report on those as and when required to the market. With respect to Cobalt, we signed agreement with the purchaser, and there is not much else we can comment on that transaction. And Viterra, our position hasn’t changed on Viterra either. It’s a terrific business. It’s had an excellent first half, and our position remains as we’ve articulated previously on Viterra.
Alain Gabriel: Thank you.
Operator: Thank you for your question. We’re now going to take our next question. It’s from the line of Liam Fitzpatrick from Deutsche Bank. Please go ahead.
Liam Fitzpatrick: Thank you. Good morning, Gary and Steven. Two questions. One on costs and one on working capital and the shareholder return. On the cost front, it’s obviously an incredible set of numbers, but the market is surprised by the implied H2 unit costs for copper and zinc, which I know you touched on in your comments. But if we look at Katanga and Kazzinc, can you give any kind of color on what sort of operational turnaround and cost reduction we could be seeing over the next 6 to 12 months? That’s the first question. And then in terms of what you’re guiding on us today, so it’s a free cash flow number of $18 billion divided in to that’s $9 billion per half. And then you’ve told us $2 billion of working capital reduction. So that’s an $11 billion free cash flow in H2 if everything stayed the same. So is that the right way to interpret it? And is that kind of where the February distribution announcement is headed. Thank you.
Steven Kalmin: Yes, Liam, I’ll take the second one first. So yes, obviously, I mean, mechanically, that’s the free cash flow that obviously generates, that’s on a annualized basis. I think a having it is reasonable. That’s sort of unconstrained by any pricing or the like. So that would – now coal business has some, it could be either things lock in or it could be above or below that particular market. So it is a reasonable projection. You take the work capital yes. So mechanically, so we’ve reloaded on a pro forma up to 10, so we will get to, if you generate that cash and you certainly have your $2 billion that I’ve articulated out there that I would say is a good assumption for now. Then you 9 plus 2, you finished a $2 billion net cash in Feb. Mechanically you have the base distribution, which would be the first waterfall, if you like. So we’d look back at the $1 billion plus 25% of industrial. That will be a large number as well, given industrial is very strong this year. And then the balance to take it back up to 10. That’s exactly right. In terms of Katanga and Kazzinc, I mean the one thing we’ve obviously run now, and we’ve tried to just run it mark-to-market as true as we can because we take the price, we want to make sure we’re not double dipping here in terms of the overall cash flow contribution as well. So we are not – we are certainly beneficiary of higher prices, particularly in the energy side, but we’re also going to reflect that through all the costs. So that was with crude at the 109, we’re big diesel. It feeds through into all the consumables as well. Price increases have been – we’re running looking at some other numbers the other day. That’s not – it will have a weighting across the business, but across our addressable energy world prices against base periods are up close to 60%. And that’s if you take the different categories of our – that’s electricity diesel reductions, utilities and the likes. Our consumables is up 25% as a blend of addressable, and that’s all the parts equipment, explosives, grinding media, sulfur asset purchases, chemicals and the like freight and haulage services, you’ve got the energy impact, that has a blend of 10%. Now we’ve taken all these through our numbers on a sort of expected full year basis as contracts roll forward. It reflects some labor contemporary adjustments. Kazzinc was early on. So that’s obviously embedded in those particular costs. So yes, these are focused assets clearly from a cost has been high. A lot of it is passive. A lot of it is commodity linked. What we can control and really work on get the divider right that will have a meaningful impact. So if you see the Zhairem, you see more tons see better operating performance. We get Katanga back up. We’ve got obviously 220 already. H2 picks up from H1, Zhairem coming back, the various projects in place, as Gary said, to deliver that operation back to its potential also Katanga. That has a massive impact in operational leverage as well as well as unit cost reduction. Nothing we do about the cobalt price in the meantime, these things, we are just going have to see how that works out over time. But there is plenty of focus on it. Liam, we just wanted to call it as we see it at the moment. Hopefully, it’s sort of peak inflation and peak sort of peak commodity by-product at low levels that we’ve sort of had a spot that we can contract these costs now.
Liam Fitzpatrick: Thanks, Steven. I could briefly follow-up. Just on Katanga, do you have a kind of sense when you say now like when you expect production to get back up towards that kind of 280 plus type copper annual level?
Peter Freyberg: Hi. Peter Freyberg here. We’re working steadily through that. As you will have seen from our production report that although we’ve had some geotechnical issues and some more processing issues, we are constrained somewhat by access to land, and this is an issue that we’re working through with our partner in the country. And to some extent, our ability to get back to those levels is constrained by that. I will go on to say though that the geotechnical issues was something we identified in the first half. We have very sophisticated satellite monitoring and radar monitoring within the pits. We identified some anomalies stood back, and that’s why we saw the reduction in production as a result of that because we were taking the precautionary approach and making sure that safety came first. We’ve not done further analysis on what is quite a complex geology, and we’re back mining, knowing that the situation is safe, having made some adjustments. So from an optimal point of view, we’re going well at the moment. And the sort of increases that Steve talked about can be achieved. But looking a little bit further out, we do need to resolve some of these land access issues.
Liam Fitzpatrick: Very clear. Thank you.
Operator: Thank you for your question. We are now taking our next question. The question is from Chris [indiscernible] from Jefferies.
Unidentified Analyst: Hi, Gary. Hi, Steve. Good morning. I just wanted to follow-up with Steve, some of your comments around cost inflation, which is obviously not just happening at Glencore, it’s happening industry-wide. So we’re seeing very dynamic cost curves in some commodity markets are on or aluminum you’ve seen capacity taken offline pretty substantially actually due to rising costs. We haven’t really seen that in the base metals or at least in copper yet. And it looks like copper is probably the one commodity where we’re seeing the most cost inflation, especially in the upper half of the cost curve. So if we look back to 2015, 2016, I think you took capacity off-line in copper in a weaker price environment. But again, cost curves have been very dynamic since then. I’m wondering at what point would you consider reducing supply in response to prices. Are we getting close to that point now? Are we still, you think, well above where the cost curve is today? And that’s the first question.
Gary Nagle: Hi, Chris, morning. Look, the cost curve is dynamic. You’re absolutely right. I still don’t believe, as Glencore, we’re sit on the very low end of the cost curve, but we’re here to maximize margins, and we would not hesitate to remove tons from the market where we believe a market is oversupplied and that the margins we are achieving on our product is not an acceptable return. Of course, we do see these cost curve impact, but we’re also seeing supply/demand issues. I mean, the Chinese are coming back and starting to buy, which is nice to see. We’ve also seen pharmacists supply across the board. It’s not only us who has missed on the supply side. We’ve seen large producers across South America have missed and the likes. So on that side, the supply/demand for copper doesn’t look all that bad right now. Many people were saying it’s going to be heavily oversupplied this year and because of various issues, it’s quite a balanced market. So I don’t think we’re at a position yet where we would consider taking tons out the market, but it’s not something that we scared to do if we see prices fall back again as a result of an oversupply in the market.
Unidentified Analyst: Thanks. Sorry, just a second unrelated question regarding marketing. This is your third year in a row now where you’ve been well above the high end of the guidance range. And I understand that a large part of that is due to market dislocations, which especially this year as a result of the war, but also gained market share in commodity trading. And I’m wondering how you think about that long-term guidance range. I mean, should we be thinking about the top half of that range as being maybe kind of the real range going forward or potentially even something above the top half of that range or should we expect this in a more normalized environment to go back to somewhere in the middle of that $2.2 billion to $3.2 billion? Thank you.
Steven Kalmin: Chris, this is something we’ve almost got to get back to a normal environment and test it again because this is somewhat sort of theoretical. There is so many different factors, circumstances, different flows, different market participants. I obviously spoke earlier on, on the, just the barriers to entry, I think are getting higher. That’s helpful. So I think we almost need to get to what would be a normal environment and actually see how we perform in that environment again and compare that against previous periods and then save as a genuine rerating potential positively that I think the markets sort of – we get a lot of questions on here. And I think I don’t want to preemptively say, yes, we’re there. I think let’s continued performing well in doing these markets, which have offered [indiscernible] and volatility and the likes this year, last year, as you said, sort of 3 years in a row. And I don’t know what normal looks like. I don’t think anyone knows what normal looks like, but we will know what it looks like almost when we’re faced with it. And then we will see whether there is scope to bring it back up at that stage, but people will make their own calls themselves around where they see market developments where they think competition might be, where they see our performance. We’re putting more and more data points out there, which I think is very useful in this particular area. That business has shown great diversity also we’ve got the difference between metals and the energy side. I mean I would – and this is sort of my thinking almost allowed, but I’m happy to think out on the call is that ultimately, I mean, Viterra at a very solid contributor during the period. At 100%, it was $1.1 billion just for 6 months. Our net income at 49.9% was $284 million. I would think at some stage, Gary alluded to, I mean, if that asset was ever not part of Plc, I would hope that we could monetize and that would be a great reward for shareholders, obviously, at the time, and it’s a fantastic business, and it would flow back to shareholders at any sort of without that Viterra that we’d be able to then stay at the 2.2, 3.2. So at the moment, it’s included in that. I would hope sort of pro forma, we can say we can do it without it. So that’s kind of the around about where I’m saying, I think an upgrade is going to be coming, and that’s the way I think about it.
Unidentified Analyst: Thank you very much. Appreciate that.
Operator: Thank you for your question. The next question is from Ian Rossouw from Barclays.
Ian Rossouw: Hi, guys. Thank you. First question, just on your indicative or electric spot EBITDA where you highlight that marketing EBITDA at $3 billion for the full year, obviously, that’s compared to $7.8 billion for the first half. I mean you did say you expect marketing performance to sort of normalize in the second half, but that seems quite drastic given the volatility in energy markets continued. And I guess that’s not consistent with your guidance that not all the marketing-related working capital is coming back. So I just wanted to get a sense of whether that’s just being conservative or not? And then secondly, just on Zhairem. It’s something I’ve been asking every 6 months, but it seems like there is still a lot of issues and the delay seems to be pushed back every 6 months. Could you maybe just provide some details there? Thank you.
Steven Kalmin: Thanks, Ian. I’ll take the first one and probably Peter Freyberg will jump in on the second one. The spot illustrative that we do is never a forecast. There is not an forecast for ‘22. This is a 12-month. This is sort of an unhinged forget what happened in the first half. This is just saying what can this business do on a 12-month basis, assuming production that was at ‘22 levels. Costs were reset to market in terms of where we are and then running spot prices through. That’s why it’s spot illustrative as opposed to anything that was trying to anticipate or reflect anything in 2022. So we will always resort back to just the middle of the middle of the range here in terms of marketing for the purpose of this, irrespective of obviously, half two, the first half was great, second half, we said, currently expect more normal conditions. July, for example, was more normal, a decent contribution, but more normal. If we’d obviously, for whatever reason, July been another continuation at that sort of level, I don’t think we would have said we expect more normal. We would have come up with some earnings that was slightly different as well. So, yes, second half, more normal. We are getting into Northern Hemisphere winter. Who knows what that may throw up as well. But obviously, the markets, I think already somewhat prepared for that. It’s priced towards that volatilities and everything somewhat sort of reflects the ability for things to get potentially sort of challenged and is anticipating and is prepared for it in some way shape or form. So, that’s all this is trying to do. Don’t think of it as any reflection on H2 or whatever the case was going to be middle of the runway here. On Zhairem, Peter?
Peter Freyberg: Hi Ian. Good morning. Just a very positive history on Zhairem, we obviously had some difficulties during the construction period. And as you would be aware, we had a fire about 18 months ago and then a very difficult commissioning and finalization of the construction period due to COVID restrictions in Kazakhstan. So, the real commissioning started last year in 2021. And during that period, we had difficulty getting people in there. About six months, seven months ago, we did manage to get a team in there to assist the people on the ground at Zhairem. We have identified a number of bottlenecks in the plant that are constraining the ramp-up. We are developing and have developed engineering solutions for most of them and the work is progressing very well. Unfortunately, the only thing that’s really holding us right now from implementing those solutions are the complexities around the fact that a lot of equipment and supplies historically have come through Russia, and that is quite a complex issue for us now. But we do have the solutions, and we are systematically working on those bottlenecks and do see this plant being resolved sort of towards the middle of next year.
Ian Rossouw: Okay. Thank you, Peter.
Operator: Thank you. Do you have question. We are going now to take our next question. The question is from Jason Fairclough from BofA. Please go ahead.
Jason Fairclough: Good morning guys. Thanks for the opportunity. Two questions for me. One on coal and I guess another one on marketing. First on coal, the world seems to be short of energy all of a sudden. You are printing money in coal. So, I guess how do you think of plans to shrink the output of the coal business? What would it take for you to delay the ramp down and ultimately make investments to give the world the energy needs in the short-term? Secondly, just on marketing, I mean $3.7 billion in EBIT is huge, more than double the top end that you normally guide to. How should we think about the drivers of that? Was it deploying more capital? Was it taking more risk, or was it just a unique one-off opportunity that knocked on the door and so you took it? Thanks.
Gary Nagle: Hi. Good morning Jason. Okay. The coal one first. We will not divert from our plan to reduce responsibly run down our coal business. It’s – we have made a commitment to our stakeholders. We have made a commitment to the world. It’s right for the world, and we will continue down that path. It’s not negotiable. I mean in an extreme event that all the governments of the world come together and say, we are putting a pause on climate change and we need energy security and please produce more coal, yes, we would. But I mean I think that’s very unlike to happen. We have made a commitment, and we will keep to our commitments. That’s what we do. We are true by our word. On the marketing side, it’s not a matter of risk taking, no. I mean we are present in all parts of the market at all parts at all times and in all the energy products. And given the dislocations in the market and the arbitrage, the arbitrage opportunities became much bigger. This is not flat price risk taking. This is not punting on the market. This is the fact that we are present in the market around all these markets, whether they would be import terminals, whether it would be export terminals or the producers, whether they would be buyers, whatever, whether it would be storage, whatever it may be. We have products at all times, and we are able to maximize on that position both from an industrial side and the marketing side, having the third-party traded units within our book that as these dislocations come up, we are able to feed our units into them and take those arbitrage opportunities. This is not about a matter of punting and risk taking.
Steven Kalmin: I mean Jason, some of the not even the sort of price indicators that you would be seeing on screens that belies the underlying premiums, discounts and short-term desire for, if you wanted LNG, coal delivered to XYZ, you had base pricing you may see on the screens, but you had premiums that were, in some cases, 50x or something their sort of historical averages. You might have in coal historically, some premiums might have been $2 to $3 on certain cargoes, whereas the market was competing with other energy sources because of scarcity, because of other things, you might have had premiums for periods of time were triple digits. So, you had some incredibly sort of bizarre and off the charts structures around your sort of differentials, which is where we play a lot in these sort of markets between origins, between qualities for over what time periods depending on the prompt availability where you are on the curve in these things. So, it was the presentation of unheard of and unprecedented a word that’s been used unprecedented amount of time. But we really had these sort of times during the first half of the year.
Jason Fairclough: Thanks Steve. Could I maybe just follow-up on that? So, you have increased your value at risk limit a couple of times now. Is that it, or could we actually see the value at risk limit continue to get increased?
Steven Kalmin: I mean during the sort of early days of volatility spikes and the likes and correlations also because it all feeds down into a statistically generated one number that we can report, you could have been – you could have had an unchanged position completely from day A to B and just running statistics and correlations through your reported VaR could have been 120 on Tuesday and 375 on Wednesday. So, it’s a very statistically generated number without any change in risk appetite or change in positioning or change in underlying limits that may have been true. I would have thought there is not a participant, a market participant, whether in our commodity world, whether you are in financial world, whether you are in banking world that wouldn’t have had security, commodity VaR situations back then where one either would have been recognizing that VaR at that time was meaningless, frankly. You had to be a strong enough company to be able to manage the volatility, but the actual number itself and for us, we have noted that there was a suspension. It was just silly to operate with the limit. It was meaningless. So, either we could have said the limit increases to some nonsense level, frankly, which wouldn’t have been appropriate sign. We said we just, it’s sort of application or we could have reported breaches for 35 days in a row that would have been the other alternative, which is also meaningless. So, for a period of time, there were very regular catch-ups as you would expect, amongst risk, amongst our Board and the likes because they are overseas of key risks and decisions around both from a market and a credit perspective. So, we were just running, we actually de-risk things. We were – the opportunity set was much richer than our appetite to seize on that. We were trying to really hunker down and manage the risk that necessarily manage for P&L at the time. That was the focus even at the time, notwithstanding what you are seeing in terms of reported results. So, we needed to get to the other end, see where things settle down. The 150 was obviously suspended. We are now running at about 200 level. Things have normalized somewhat. That will still be something we say is that known better at 200, a, the business is bigger, b, of correlations and volatilities change meaningfully for that to be appropriate. More likely, we can go back to 150. I think that’s an appropriate level for Glencore.
Jason Fairclough: Okay. Thanks a lot. Appreciate the color.
Operator: Thank you for your question. We are now taking our next question. The question is from Dominic O’Kane from JPMorgan.
Dominic O’Kane: Good morning guys. I have got two questions. The first one is on Russia. Could you maybe just clarify what your current operational stance in Russia? So, are you lifting tons at all in Russia? And how will that evolve going forward? And in addition to that, given the constrained activities in Russia, can you quantify the impact on marketing in terms of previous volume contracts you would have had with Rosneft for example? Can we put a number on your change of direction on Russia? My second question is on the coal market broadly. Given the tightness in the coal market, have you seen any change in behavior amongst your customers, particularly around how you are contracting sales and pricing. And I just wonder if I could just maybe ask for your assessment and your outlook for the coal market on a 6-month to 12-month view from here?
Gary Nagle: Sure. Hi. Dominic, how are you? I think on Russia, our position has been articulated in the releases we out this year. We – any counterparty or product that has been sanctioned, we do not touch. Existing contracts that are not sanctioned, we continue to follow our obligations, our legal obligations that we have to take product under those, and we continue to do that. And most of those wind off till the end of this year. We will not enter into any new contracts with any Russian origin material unless we directed to by relevant governments. So, I think that probably answers the first part of your first question. The second part in terms of materiality of Russian product and marketing, the short answer is immaterial, obviously, at last have that product out that product, it’s immaterial on our book as a whole.
Steven Kalmin: Which was our day one announcement at the time to say any both operational footprint and marketing activity was immaterial.
Gary Nagle: On the coal market and our customers’ behavior, I mean we are here to assist our customers. And I think we have seen a lot of appreciation from our customers that in times of need given the broad scale of our coal business, both marketing and industrial we were able to step in and fill the breach and fill the gap where they were either self sanctioning or had an energy crisis or whatever it may be. So, I think it’s more that customer behavior hasn’t changed per se, but more there is an appreciation of our customers for the fact that we are able to supply multi-origin, multi-quality products from around the world in short notice. But generally, their buying habits remain, and we continue to support them and how they operate. The outlook for the remainder of the year, I mean, it’s difficult to say. Of course, energy markets and the energy crisis looks to remain an issue, and we do expect elevated energy prices and that revolves around all sorts of inputs into the energy market. For the remainder of the year once we – but it all depend, that’s all dependent on how the sort of current energy crisis plays out. But as we stand today, we don’t see this energy crisis going away for some time.
Dominic O’Kane: And just in terms of sales mix, is it reasonable to assume that almost all of your energy coal contracts are linked to spot or market prices?
Gary Nagle: The majority would be yes. I mean you saw that we announced our Japanese benchmark price, so that is a fixed price. We do have – so there are some tons which are fixed price, but I mean, that’s a healthy price in the environment anyway, and that runs out through to March of next year, but the majority of our tons will be market linked.
Dominic O’Kane: Thanks.
Operator: Thank you for your question. We are now taking our next question. The next question from Danielle Chigumira. Please go ahead.
Danielle Chigumira: A couple of questions from me. First one, just on marketing, so, could you give us some further color around how energy trading has trended so far in the first two months of H2? So, have you seen a significant slowdown? And the second one is around recycling. So, after the Li-Cycle partnerships, do you think there are further additions needed to the recycling portfolio, either organic or inorganic longer term, to get to where you want to be from a strategic perspective for that business?
Gary Nagle: Hi Danielle. Thanks for your questions. On energy trading, a month and four days in to the second half, I think it’s probably, we would say a bit more normal. For the first month of the second half, we are obviously early into the half and as you know, there is sort of, we haven’t hit the Northern Hemisphere winter, we have seen production numbers or commitments from OPEC. There is all sorts of uncertainties and unknowns ahead. But for the first 35 days of the second half, I would say we are sort of in a more normalized energy trading environment. With respect to recycling, we believe recycling is not only the right thing to do, but it also has great opportunities for our business given the flow of material that will come into the business. Li-Cycle is, we believe, a very good investment for our company. And we will look at various other investments over time. We will not be deploying huge amounts of capital into that at this stage, but there are opportunities that we see come up and we will assess other opportunities and we may choose to deploy some capital when the time is appropriate.
Danielle Chigumira: Alright. Thank you. Just one follow-up on safety, actually. Just obviously, there are two fatalities year-to-date. So, essentially no improvement versus the four fatalities last year. Could you talk about what you are doing from a safety perspective to improve that performance?
Gary Nagle: I will let Peter answer that.
Peter Freyberg: Yes. Hi. Good morning. Thanks for the question. Safety, as we have been talking about, is obviously our top priority within the operations. We have very extensive campaigns across our entire business rolling out our safe work to processes, and that provides us with consistent approaches and behaviors to managing safety and hazards within the workplace. We continuously measure that. We continuously measure compliance against that, identify gaps and make sure that those gaps are being addressed. As Gary pointed out, obviously, we are extremely disappointed with the two fatalities. But we are having some successes. We have had across our 150-plus industrial sites, we have had 149 of them running well in excess of 12 months without fatalities, which is an achievement that we have not done in the past. So, we continuously stride towards that target of zero, and we do believe we will achieve it.
Operator: Thank you for your question. We will now take the next question. And it’s from the line of Myles Allsop. Please go ahead.
Myles Allsop: Great. Thanks. And maybe just a quick follow-up on the market, we have got this kind of huge dislocation between high CV and low CV coals. Do you think that is sustainable for a protracted period of time? And then maybe secondly, could you just talk about the thought process between the buyback versus the dividend and how we should expect $11 billion in February to be distributed? Thanks.
Gary Nagle: I will take the coal question, Myles. Yes. there is a real dislocation between high CV and low CV. And that’s because, as you know, Myles, the coal market, there are markets within markets and sort of coal is different. So, there certainly is a very tight market in the high CV coal market. And certain utilities and certain destinations require the high CV market, that high CV material, are unable to change for boiler reasons or other reasons, ash disposal reasons and many other reasons, that they need to continue buying the high CV market. So, the high CV market remains tight. We continue to see it tight with this energy crisis and higher LNG prices. So, that’s a strong market. On the lower CV, yes, there is, it’s a little less tight in terms of supply demand, but of course, there is still a huge demand for low CV coal. So, where those differentials go is hard to say, but we do tend to see those bounce up and down as the various supply/demand dynamics within those markets, within markets develop and how energy use is required.
Steven Kalmin: Myles, the second question, it looks like you got, you have sort of penned in $11 billion already for next year, fair enough. Obviously, there will be a base cash distribution just under our formula that will be in cash. And anything above that is then up for grabs between additional cash or buybacks. What we have always said around buybacks the cash is that cash or specials would be favored all things being equal, but buybacks will always play a part where we don’t want, it’s not just a pure cyclical call. We want to do our range of our own business valuation metrics where we see risk/reward within our own business, running a whole range of scenarios and where we would think the share price currently is particularly attractive in the discounting of those scenarios and how we put a range of scenarios that the buyback within come meaningfully into play as it has now. Earlier in the year, we were at 0.6 okay, smaller, now $3 billion more punchy. That takes out quite a number of shares out of the market. It’s about 4.2%, I think at core prices roughly. The numbers sort of going forward could be obviously material as well and it would be designed around a whole range of scenarios that we run and saying, is that the best way to put towards capital towards the buyback and at what levels, and it comes down to a range of scenarios that we ourselves run as to whether that’s the best as opposed to give all shareholders the cash and they can make up their own minds and frankly, some have a strong preference for that. So, it’s also threading a balance between various preferences, various incoming, various situations across our broad shareholders. As I have always said, you ask 100 sort of people or 100 answers around both preferences and the quantums between them, and you will get 125 different answers. I think we have balanced the broader stakeholder reasonably well this year. It’s about a 57-43 split this year, sort of potentially assuming we see value. That’s not an unreasonable framework to think about going forward. And again, subject to – at some point, there is going to be a level where we say, you know that share price is such that it’s now reflecting commodity cycles and curves and consensus and the various other things that everyone has got different views there. And we will give it all back, and we are happy to make calls on various things within the business, that’s something we would let the investor base make their calls.
Myles Allsop: Maybe just on the coal question, of the 120 million tons, what’s the average CV content today? And how much of the higher CV over 5,800 do you have, is it 50 million or 80 million tons. Can you give us a sense as to how that splits down between the different categories today?
Gary Nagle: Yes. I mean Myles, I mean of course, on an average, we could average it all together, and we are sort of probably at about 5.8, 5.850.
Steven Kalmin: I mean take coking out.
Gary Nagle: Yes. And we take – you take the coking out, but I mean we probably, if you average it all out, but that’s not the way to look at it given you can take a semi-soft coking coal, which is a high CV that’s a sort of a 6.6 and that can swing between coking coal and steam coal depending on where the market goes. The way we blend and we will blend optimally into the markets that make the most returns for us. So, I mean if you just put it all together in one big 100 million ton pile, yes, we are probably about 5.8, 5.850.
Myles Allsop: Thanks.
Operator: Thank you for your question. We are now taking our next question. The question is from Sylvain Brunet from Exane Paribas.
Sylvain Brunet: Hi. Good morning gentlemen. My first question is on Collahuasi. If you could give us a sense of whether the fiscal debate in Chile is delaying any of your decision there or not so much? And the second one to be a little bit more specific on macro risks, if you could give us a sense of if you have seen any of your customers in developed markets scaling down any of the orders or not at all? Thank you.
Gary Nagle: Sylvain, Chile, we are a big tax payer in Chile. We are a big employer in Chile and we are a corporate citizen in Chile. We are obviously, like all our peers within the market, watching very carefully and closely what the government decides to do both on the constitution and on the tax and royalty reform. We obviously like a stable investment environment. And we have always had a successful time into the investing. We believe it is a good environment to invest in. And we will watch very carefully to see how the developments of the current proposed changes pan out. On the macro risks and the macro environment, yes, we are seeing changes all the time. Certainly, Europe is very weak. The United States remains strong, but with signs of weakening. But on the other side of the world, China is starting to show some green shoots. So, not everything is moving in the same direction at the same time, and we also still see that underlying demand for decarbonization materials as well as base load energy. So, it’s very dynamic, and there are different drivers in different parts of the world. And as I said, so sort of we adapt to those as we see them change.
Sylvain Brunet: Great. Maybe just a word on cobalt, Gary, the latest behind the price correction, is that temporary the way you read it? Customers will have a bit more visibility on the auto trend in the later part of the year? What’s your…
Gary Nagle: No doubt, lot of temporary. I mean at the end of the day, yes, with the slowdown in China, the lockdowns that we saw in China in the first half of the year, production of electrical vehicle batteries was significantly slower. And the demand was not there and price is corrected. But in any sort of consensus view of where electric vehicles will go and battery manufacturer go versus the supply of cobalt, longer term, now where that is and/or even medium-term, it certainly looks like a structural deficit in the cobalt market. So, yes, there are some stockpiles around and some weakness in demand right now. But we do expect as the world comes back. And as I said earlier, the decarbonization drive does not change and electric vehicle growth will be there. We will see the demand for cobalt come back and most likely outstrip the supply.
Sylvain Brunet: Great. Thank you.
Operator: Thank you for your question. We are there now to take our last question. So please standby. The next question from Tyler Broda. Please go ahead.
Tyler Broda: Great. Thanks very much. Just two questions for me. The first one is just a follow-up on cobalt. In terms of those payabilities, how do you expect to see those evolve over the next sort 12 months, 24 months? Is that a structural thing, or is that going to come back once China normalizes a bit? And then I guess the second question is just some of the – some high-profile announcements recently from some of the auto OEMs just around partnerships, etcetera. I am just wondering how you see your strategy progressing on that front? Thanks very much.
Gary Nagle: Tyler, cobalt, the short answer, yes, we do see payables coming back into a more normalized range as China demand comes back. I mean there is a bit of inventory to work through, and that does impact payables. But sort of as I said on the answer to the previous question, demand medium to longer term remains very strong. And as the inventories run down, and as demand grows again and supply struggles to keep up with demand, we certainly see those payables coming back to a more normalized level. What is the second question? Excuse me.
Tyler Broda: Sorry, on the OEM strategy.
Gary Nagle: The OEM partnership. Sorry. Yes, I missed that one. Well, as I said in our presentation, we have entered into a collaboration agreement with General Motors as they transition to an electric vehicle production fleet. We have long-term supply arrangements with Tesla and a number of other OEMs and continued discussions with other OEMs around the world, both European, U.S. and in fact, Asian-based. So, we continue to build those relationships, those partnerships as we call them. We are not just a supplier. We are a partnership provider. We don’t only supply cobalt in many cases. We supply nickel. We are even talking to some of our suppliers about potential recycling of the end-of-life batteries once the cars come back. So, there is a lot of work going on, and we have a number of these partnerships in place.
Operator: Thank you. I will now hand back the conference to Gary Nagle for closing remarks.
Gary Nagle: I would just like to thank everybody for joining us. I know we ran a little bit over time, but a full set of results, a full set of numbers, and we will just express our appreciation that you joined and for all the questions during the call. Thanks very much.
Operator: That concludes the conference for today. Thank you for participating. You may all disconnect.